Operator: Good day and welcome to the Western Midstream Partners First Quarter 2021 Earnings Conference Call. All participants will be in listen only-mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, today's event is being recorded. I would now like to turn the conference over to Kristen Shults, Vice President, Investor Relations and Communications. Please go ahead ma'am.
Kristen Shults: Thank you. I'm glad you could join us today for Western Midstream's first quarter 2021 conference call. I'd like to remind you that today's call, the accompanying slide deck and last night's earnings release contain important disclosures regarding forward-looking statements and non-GAAP reconciliations. Please reference Western Midstream's Form 10-K, Form 10-Q and other public filings for a description of risk factors that could cause actual results to differ materially from what we discuss today. Relevant reference materials are posted on our website. With me today are Michael Ure, our Chief Executive Officer and Craig Collins, our Chief Operating Officer. I'll now turn the call over to Michael.
Michael Ure: Thank you, Kristen and good afternoon everyone. Yesterday, we reported first quarter 2021 adjusted EBITDA of $443 million. The impacts of winter storm Uri and the Colorado blizzard decreased adjusted EBITDA by approximately $30 million for the quarter. While these winter storms caused throughput to decrease and operating costs to increase for a short period of time, the impact was temporary with no long-term infrastructure or supply issues. We expect throughput and adjusted EBITDA to now increase throughout the year, especially in the second half and we remain comfortable in our ability to meet our previously communicated 2021 guidance of adjusted EBITDA between $1.825 billion and $1.925 billion. Furthermore, while capital expenditures have been pushed out slightly, we still expect to fall within our previously communicated CapEx guidance range of $275 million and $375 million. We remain focused on identifying innovative ways to reduce our cost structure and work more efficiently. Despite the winter storms, we generated $214 million of free cash flow and $83 million of free cash flow after distributions during the first quarter. Our focus on free cash flow generation since 2020 has enabled us to repay our 2021 debt maturity in March for total debt reduction this year of $431 million. Furthermore, we expect to generate free cash flow after distributions sufficient to allow us to repay our $821 million of near-term maturities as they come due over the next two years using free cash flow. This will maintain leverage at/or below 4 times at year-end 2021 and further reduce leverage at/or below 3.5 times by year-end 2022. We also implemented a 1.3% increase in our first quarter 2021 per unit distribution versus the prior quarter's distribution, which aligns with a targeted annualized distribution growth of 5%. Over the past year we've completed a number of transactions to support this distribution increase. In September 2020, we completed the $255 million, Anadarko note exchange for units owned by Occidental. In November 2020, our Board authorized and we initiated $250 million unit buyback program. We repurchased $218 million of debt in 2020 and recently retired $431 million of 2021 maturities, these transactions have increased our annualized free cash flow after distributions by $54 million. This increase in annualized free cash flow more than offsets an annualized 5% distribution growth target for nearly two years. Furthermore, current forecast support a pay-down of our 2022 debt maturity of $581 million, which would increase our free cash flow, an additional $23 million and almost offset an additional year of 5% distribution growth. We expect the significant organizational and operational improvements achieved during 2020 to continue to generate incremental free cash flow and further support our ability to increase the distribution. As recently commented, if producer activity levels remain consistent with 2021 levels over the next five years, we believe we will have the ability to internally fund our core business and generate sufficient excess cash to repay all debt maturities through 2025, target at least a 5% annual distribution growth rate and achieve a net debt to trailing 12 month adjusted EBITDA ratio at/or below 3.0 times. While the Board will continue to evaluate our distribution level each quarter based on business needs, we're optimistic that the fundamental changes we've implemented at WES will enable us to confidently sustain a reasonable distribution growth rate, while still allowing for meaningful free cash flow for other stakeholder enhancing opportunities. At the end of the first quarter, we have repurchased a total of $49 million of units through our previously announced common unit buyback program, which is currently authorized through December 31, 2021. We continue to see the value in the buyback program, which we will execute opportunistically. Through the unit buyback program and Anadarko note exchange, we have repurchased 31.34 million units to date, which represents over 7% of our outstanding unit count as of the filing of our second quarter 2020 10-Q. By repurchasing debt in 2020 and retiring our 2021 maturity, we continue to prove our commitment to reducing leverage. Furthermore, through further debt repayments cash distribution growth and unit buybacks, we remain flexible and opportunistic in how we return value to stakeholders. With that, I'll turn the call over to Craig to discuss our first quarter operations.
Craig Collins: Thank you, Michael. First, I would like to congratulate our team for its recognition by the GPA Midstream Association for outstanding safety performance in 2020. For the second consecutive year we were awarded first place in the division one category for companies with greater than $1 million reported man hours. I am incredibly proud of our team, their attention to safety and their concern for one another, a sincere thank you to all of you. Operationally, gas throughput increased by approximately 2% or 74 million cubic feet per day on a sequential quarter basis, while winter storm Uri and the Colorado blizzard negatively impacted first quarter throughput for our products, an additional third-party connection to Latham II at the DJ Basin Complex beginning January 1, 2021 helped to support our gas volume. Our water throughput decreased by approximately 62,000 barrels per day, representing a 9% sequential quarter decrease as a result of lower producer throughput in the Delaware Basin, including the effects of winter storm Uri. Throughput from our crude oil and natural gas liquid assets was down about 2% or about 15,000 barrels per day from the previous quarter primarily due to decreased throughput at our Delaware basin facilities. Our gross margin for crude oil and natural gas liquids decreased by $0.24 on a sequential quarter basis to $2.45 per barrel. As previously mentioned, our fourth quarter gross margins were positively impacted by our annual cost of service rate redeterminations. As Michael said earlier, we expect EBITDA to increase throughout the balance of the year and volumes to follow. For the remaining the quarters, we expect about 130 new wells to come online in the Delaware and 115 in the DJ. These expectations are supported by increases in various producers activity levels in the Delaware Basin coupled with incremental new business developed by our commercial team. Now, I'll turn it back over to Michael at this time.
Michael Ure: Thanks, Craig. Moving on from our first quarter performance, I'd like to take some time to provide an update on our 2021 objectives of enhancing customer service and operational excellence and minimizing our environmental footprint. To increase our internal focus on these areas we recently added employee, environmental, and community metrics to our performance targets. First, while the industry standard safety metric of TRIR representing total recordable incident rate has always been a performance target for the WES team, we further emphasized safety by including an additional safety target that is a better measure for the severity of our incidents through the implementation of a days away restricted or transferred metric, commonly referred to as DART. To demonstrate our commitment to environmental protection we added a target metric for total volume metrics spill rate or TVSR. As we continue to assess our environmental footprint, specifically our emissions data, I expect us to further expand our targets. Expanding these HSSE metrics and aligning employee and management compensation with these targets more appropriately demonstrates how much we value the safety of our people and protection of our environment. Giving back is at the heart of what it means to be part of the WES family. So our internal performance metrics now include a volunteering target. This target places value in our community investment programs and encourages our employees to actively spend time assisting their communities. Since January approximately percent of our employees have collectively spent over 1,000 hours actively volunteering across the country, from sorting cans and food banks, to planting trees for Earth Day, our employees are sharing their passion for helping others in the communities where we live and work, while strengthening a culture based on servant leadership. Turning back to the environment, we continue to evaluate sources of methane and CO2 emissions across our portfolio and the feasibility of various reduction projects. We recently met with our newly formed board level ESG committee to review our environmental footprint, existing emission minimizing methods and potential long-term projects. As our thoughts and actions around long-term initiatives evolve, we will keep our stakeholders apprised of our progress. In 2021, we are minimizing our emissions through thoughtful design and construction of our assets and by collaborating with third parties to find the best solutions to today's climate related challenges. Throughout the past several years, WES has employed new technology and design systems to reduce carbon emissions for WES and our customers. Our high vapor pressure oil gathering systems in the DJ and Delaware Basins are examples of WES taking a leadership role in reducing emissions. Beginning this year, we are taking best emissions controls practices found at WES and throughout industry and incorporating them into our standard compressor station designs. Going forward all compressor stations planned for construction will utilize methane reducing technologies unless they are deemed not feasible for regulatory, logistical or safety reasons. These stations will utilize instrument air systems instead of natural gas systems to drive pneumatically controlled devices and assist in engine start up. We're also installing piping to route vented gases from pipeline and compressor engine maintenance activities back to low pressure gas systems to reduce associated emissions. These types of projects, help us minimize our existing greenhouse gas footprint while adding capacity to our systems. We're also participating in various research projects with third parties that are focused on methane reduction. As one example, we plan to participate in a study with Colorado State University to jointly evaluate methane emissions from air and ground levels in the DJ Basin. The study will also utilize computer modeling to improve our emissions inventory and test various methane detection technologies. We're excited to participate in this study to further drive innovation and change in our space. Before we end our prepared remarks, I'd like to provide an update regarding organizational changes at WES. We have performed extremely well because of the strength and talent of the people within the organization who have continued to step up and provide valuable leadership. We have not and at present do not feel the need to replace the CFO position. In lieu of filling that role, we will be promoting three individuals who will take on key responsibilities within the organization. Catherine Green, our current Chief Accounting Officer, has been promoted to SVP and Chief Accounting Officer; Kristen Shults has been promoted to SVP of Finance and Communications and Crystal Sled has been promoted to SVP of Human Capital Management and Diversity Equity and Inclusion. With their help, we'll continue to focus on optimizing the business pursuing social investment initiatives and delivering value to stakeholders. To close, the winter storms in the first quarter provided us with a small speed bump. But the decline of the pandemic in the U.S. and stability of the commodity pricing environment is fueling our optimism for the remainder of 2021 and beyond. For the last 14 months, our employees and contractors have worked long hours to ensure that WES would be well positioned as a premier midstream provider when we came out of the pandemic and the Board and entire management team appreciate their collective effort to get WES to where we are today. Their work gives us great confidence that we're on our way to accomplishing the objectives we laid out at the end of last year. With that, I would like to open the line for questions.
Operator: [Operator Instructions] Today's first question comes from Shneur Gershuni with UBS. Please go ahead.
Shneur Gershuni: Hi, good afternoon, everyone. Maybe I'll start off with a question. You made an interesting comment in the prepared remarks, you were talking about the fact that you've reduced the units outstanding by 9% and that the increase in the distribution was only 5%. So is kind of the goal at least in the near term or when I say near term, the next year or two, is the idea to sort of keep the actual cash outflow kind of under the kind of 140 level that you were at, let's say, in the third quarter of last year and you would be raising the distribution in line to match the unit count drop so that the cash outflow doesn't actually change, is that kind of the strategy or is it just cut it by half instead so, that's working out this way?
Michael Ure: Yeah, Shneur. It's a great question. So just one small correction. The number of units that have been repurchased amounts to 7% of the pre-unit repurchase unit count. So if you looked at it second quarter of 2020, the 31.34 million units over that unit count at the time was about 7% of the market cap, which is an enormous number, overall. That combined with the reduction in distributions as a result of that unit repurchase program as a whole as well as the debt reduction initiatives that we started in 2020 into 2022, sorry 2021, 2022 and 2023 provides the ability for us to be able to deliver on a 5% distribution growth without actually increasing the free cash - the burden overall and sustaining the free cash flow after distributions that would have been in place had those retirements, whether it's on the unit count side or the debt side actually not occurred. So it is - it was definitely a plan and a strategy, it's rewarding the unit holders overall for some of the initiatives that were undertaken starting in 2020 to reduce our overall debt count and our unit count as a whole.
Shneur Gershuni: Great. No, that makes perfect sense. Just wanted to clarify that. And then secondly, just wondering if I can talk about the guidance assumptions that were presented earlier this year and kind of where they stand today. Presumably, your guidance for '21 was premised on kind of a given level of activity post discussions with your producer customers. Can you share with us two things, first of all, where are the activity levels today by producers? Is it in line with where you - where the previous guidance was at? And then secondly, given your original guidance, with the volume ranges established at the time of certain commodity price tag and is there a potential for given where prices are today that if they raise activity, you could see a change in your guidance assumptions as well.
Michael Ure: Yeah. No. Another great question. So what we're actually seeing overall as it relates to activity levels is very much in line from the communications that we had received going back to the back half of 2020 at the time that we initially released expectations from a performance level for 2021. And so overall, we were experiencing a little bit faster pickup on the private side, a little bit more discipline on the public side and that has actually borne out overall as it relates to the performance thus far. If there were a material increase overall in activity levels, I'd say that picked up over the next couple of months or so we would more likely actually see that impact 2022 at this point as opposed to 2021 given the lag time that it would take to just stand up a rig drill and ultimately get onto our system. So, overall, however, as we sit here today, very much in line with what we were expecting at the end of 2020 and first part of 2021.
Shneur Gershuni: Perfect, thank you very much, appreciate all the color today.
Michael Ure: Thank you.
Operator: And our next question today comes from Derek Walker with Bank of America. Please go ahead.
Derek Walker: Good afternoon, everyone. I'll start off with a quick one - a clarification one, I think in formal remarks you talked about 130 wells, is that for and this is in the Delaware and I think is it 115 in DJ, is that from the entire year or is that from 2Q onwards and for the rest of the year. Just want to make sure I understood those numbers. And then I guess a follow-up to that is just how do you expect the cadence of those wells to come online and I guess how does that relay into the CapEx guidance. Is that kind of in line with the midpoint or does the well connect going to bring into the lower end or higher-end? Thanks.
Craig Collins: Yeah, Derek it's, Craig. And just to recap in the Delaware, the 130 wells, those are new wells expected in the second, third and fourth quarter. So for the balance of the year post first quarter, and then up in the DJ Basin, we are expecting an incremental 115 new wells following the first quarter of this year. In terms of cadence, it's going to be particularly in the Delaware pretty - pretty ratable throughout the year, we expect and actually on the DJ side, I think the activity levels are probably a little skewed to the front half of 2021, but in terms of impact on our capital program, this is pretty much in line with how we aligned out our capital estimates for the year and so we feel like, what we're seeing in terms of new wells coming on between now and the end of the year is pretty well in line with what we originally expected when we said at our capital program. So our capital in the first quarter was a little bit lighter than we had expected. I think last time we had spoken, but what we've seen is there are some opportunities to just slide the projects out and so the capital wasn't as front-end loaded this year as we originally had anticipated but we see that being pretty ratable through the rest of the year.
Derek Walker: Thanks, Craig. And Michael, I just have a follow-up on your remarks around ESG and appreciate the color around sort of the - sort of internal targets or metrics that you're setting, you mentioned opportunities around further compression to reduce methane and you're also kind of participating in some studies. I guess you have an idea of when some of these opportunities to come to fruition, when do you expect some of these studies to wrap up and how big of an opportunity that you think this could be? Thanks.
Michael Ure: Yeah, it's a great question. We would expect to be able to provide some additional details likely the latter half of this year as it relates to some of those initiatives that we can undertake within our business. You may recall from the last call that we had, we already commented around the enormous impact that we've had on making a lot of our compression electric overall and the amount of CO2 emissions reductions that have come as a result of that. This is just a furtherance of that mentality of us trying to again reduce our footprint overall, on some of the studies that we're undertaking and some of the engineering efforts that we are performing today to try and improve overall on that footprint, and so the hope is that we'll be able to highlight some of the results of those efforts potentially in the latter part of this year.
Derek Walker: Great. Appreciate the color. Thanks guys.
Operator: And our next question today comes from Jeremy Tonet with J.P. Morgan. Please go ahead.
Jeremy Tonet: Hi, good afternoon.
Michael Ure: Hey, Jeremy. How are you doing?
Jeremy Tonet: Good, thanks. Just wanted to touch on the DJ for a minute here, we've seen a lot of consolidation over the years, you had continued M&A and just wondering how you think that could impact WES' volumes both in the near term and the long term.
Michael Ure: Yeah, Jeremy. It's good question, I would say that we don't really look at that as potentially impacting overall. We feel like we've got a great footprint there and feel like we've got great relationships with any of the counterparties that may engage in consolidation overall in the DJ or the Delaware Basin as a whole and so really the way that we look at it as we want to be the best-in-class provider across the board. And so in as much as there is consolidation and there is a potential selection to be made of the providers that they're going to go with now in the new form, our goal is to make sure that we have the best relationships, we have the best service offering that we can compete from a cost perspective and what we've seen in terms of consolidation doesn't give us any pause with regards to that mentality. So, inasmuch as there is an increase in activity levels, obviously would provide additional opportunities if it is just going to be a combination of the two in activity levels remain constant, then I would say that we don't really expect a material impact other than just highlights the importance of the efforts that we've undertaken to try and be best-in-class, and therefore the selection of choice after that consolidation occurs.
Jeremy Tonet: Got it. That's helpful, thanks. And then Oxy seems to have noted several carbon reduction goals and just wondering if there is a role for WES to play in achieving this or just any thoughts on that in general?
Michael Ure: Yeah, Jeremy, we do think that there are opportunities for us to work together with Oxy and part of that effort was in the formation of the ESG committee where two of the three members are current Oxy employees and again the point around that was for us to try and facilitate and piggyback off of a lot of the incredible efforts they're doing to see if there are ways that Oxy - sorry, that WES would be able to participate together overall. It needs to ensure that we can provide an adequate return and goes along with what our core competencies are, but we definitely think that there will be opportunities in the future and would look to work together with them in that regard.
Jeremy Tonet: Got it. That's helpful, thanks. And just one last one if I could. It seemed in some of the filings there was some dispute between Oxy with one of the contracts there. Just wondering if you might be able provide a bit more color what was happening there and just kind of any potential range of outcomes?
Michael Ure: Yeah, I would call it, just kind of regular way normal course types of interactions overall between producer and midstream provider. We disclosed it, particularly with regards to the secondary offering, so that we can ensure that there was full and complete information out into the marketplace. As we sit here today currently, we don't expect any impact from a financial perspective.
Jeremy Tonet: Got it. I'll leave it there. Thank you.
Michael Ure: Thank you.
Operator: [Operator Instructions] Today's next question comes from Sunil Sibal with Seaport Global Securities. Please go ahead.
Sunil Sibal: Yes, hi, good afternoon, guys and thanks for the clarity. Just one follow-up from the previous discussion on ESG. I think there has been, if you get a bit of industry discussion on carbon capture opportunities around processing plants, I was kind of curious, is that something you guys are also looking at and considering the CapEx in volumes just like investments how should we be thinking about funding of these opportunities if these were to move ahead?
Michael Ure: Yeah. So it's a great question. Yes, we definitely are looking at capture opportunities that in particular at many of our gas plants. Actually, the amount of capital for those, at least just the capture side of it, is relatively minimal. What I would say, though, and it's a great question is that the efforts that we have undertaken since the beginning of 2020 to reduce our leverage and enhance our overall free cash flow profile was in part, so that we would be in a position to be able to, if we found the right projects and the returns associated with them were acceptable that we would be in a position to be able to fund those types of projects and so a lot of the effort that we have undertaken is in part to put us in a position to do that, but as it relates to carbon capture we're definitely looking at that and see opportunities, therefore and again from a financial perspective, we've got a great - we're in a great place with the free cash flow generation of the business and the leverage reduction to be able to fund those types of projects.
Sunil Sibal: Understood. And then on M&A, you obviously did a small transaction last year. How should we be thinking about that in the context of the fact that your number of equity investments in a number of assets. Is that kind of the first place for you to go to for being opportunistic in M&A market?
Michael Ure: Yeah, no, it's a great question. So the answer is that, yes, we've got a - we're in a great place from the standpoint that we don't need to execute anything on the M&A side to be able to achieve the targets and objectives that we put out there and we can be opportunistic in looking at whether it's enhancing our business through acquisition or whether it's through divestitures of some non-core assets. We - it would only be in the event that we believe it would be enhancing to the targets and goals that we have out there, but it's not necessary for us to achieve them. We're in a little bit better M&A environment today than we were a year ago, but our perspective and strategy around it has actually been the same over - since we've been a stand-alone company. So we continue to look at opportunities to enhance our business whether that's through asset divestitures or potential acquisitions, but it's not necessary for us to do it, to be able to achieve the goals that we set forward.
Sunil Sibal: Understood. And then one last one with regards to your discussion with rating agencies. So you obviously kind of delivered on paying down the debt and also laid out a path for further deleveraging. I was just curious, how have been your recent discussions with rating agencies and what would it take them to move on the ratings and are there any explicit goals with regard to the customer concentration that are kind of in their expectations or in their kind of view that you need to meet for them to make certain moves on the ratings?
Michael Ure: Yeah. So we maintain a very active dialog with rating agencies, meet with them on a very regular basis. We feel as if we're at investment grade, from a - from a metric standpoint as we sit here today. And so our focus is on making sure that we can continue to maintain those overall metrics in totality. So that we're in an opportunity to be able to move out to the investment-grade credit rating scale. As you mentioned, they do take into consideration customer concentration, there is no specific target necessarily with regards to that, but from our perspective, we don't have a target either, right. So our goal is to grow the pie as opposed to how it is that the pie is split up. So we want to make sure that we're growing the amount of volumes going through the system, growing the cash flow, free cash flow overall, and so we don't really have that target and even if it were that the rating agency put one out there, which they haven't. So for us, it's just about maintaining the metrics that we have today and if and when it comes and we welcome the chance to get back up to investment grade, but our focus is on maintaining and doing what we can, which is reducing leverage overall.
Sunil Sibal: Got it. Thanks for all the color and congratulations to everybody who is promoted. Thank you.
Michael Ure: Thank you.
Operator: And ladies and gentlemen, this concludes the question-and-answer session. I'd like to turn the call back over to the management team for the final remarks.
Michael Ure: Thank you everyone for your participation on the call. Appreciate your time. We look forward to speaking to you in three months' time.
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.